Operator: Thank you for standing by, and welcome to the Bread Financial Fourth Quarter and Full Year 2024 Earnings Conference Call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Brian Vereb, Head of Investor Relations at Bread Financial. Please go ahead, sir.
Brian Vereb: Thank you. Copies of the slides we will be reviewing and the earnings release can be found on the Investor Relations section of our website at breadfinancial.com. On the call today, we have Ralph Andretta, President and Chief Executive Officer; and Perry Beberman, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are based on management's current expectations and assumptions and are subject to the risks and uncertainties described in the company's earnings release and other filings with the SEC. Also on today's call, our speakers will reference certain non-GAAP financial measures, which we believe will provide useful information for investors. Reconciliation of those measures to GAAP are included in our quarterly earnings materials posted on our Investor Relations website. With that, I would like to turn the call over to Ralph Andretta.
Ralph Andretta: Thank you, Brian, and good morning to everyone joining the call. Before I begin, I want to start by sending our thoughts to those impacted by the recent wildfires in California. To underscore our commitment to the customers and the communities we serve, we continue to provide financial support to the American Red Cross for emergency relief efforts. We remain committed to all of our customers impacted by the fires and are providing hardship assistance during this time. We wish the individuals and families affected as well as the first responders and those delivering relief aid continued safety. Now to our presentation. Starting on Slide 2 with our 2024 achievements. We are pleased with the progress we have made throughout the year. Our commitment to growing responsibly with our brand partners was evident as we added iconic partners like Hard Rock International, HP and Saks Fifth Avenue while investing in our existing programs. With the addition of these new brand partners along with continued strong renewal rates, including 7 renewals in 2024, we now have more than 85% of our loans secured through 2026 and 9 out of our top 10 programs secured through at least 2028. We have continued to cultivate strong partner relationships and diversified both our product offerings and our industry verticals. These actions help to mitigate our risks and further ensure a solid run rate for performance in 2025. The macroeconomic and regulatory environments evolved throughout 2024. In turn, we effectively adapted to prolonged inflationary pressures affecting our customers and uncertainty regarding regulatory outcomes. Our strategic, proactive credit tightening actions during the year enabled us to maintain a stable credit risk distribution. Additionally, although the outcome and timing of the CFPB late fee rule remain uncertain, we continue to execute our mitigation strategies to better position our company and offset any potential impact. Next, we made significant progress strengthening our balance sheet, executing our long-term funding plan and growing shareholder value. We improved our capital levels and succeeded in reducing our parent-level debt, including the repurchase of 97% of our outstanding convertible notes and achieving our double leverage ratio target of below 115%. These accomplishments underscore our disciplined approach to growing our business and allocating capital responsibly. Our strengthened balance sheet provides additional flexibility to further optimize our capital and debt stack as we discussed during our Investor Day in June of last year. Further, due to our progress, both Moody's and Fitch upgraded their rating outlooks to Bread Financial, moving from stable to positive, just 1 year after obtaining our inaugural rating. Contributing to our success is our focus on operational excellence and technology advancements as we leverage innovation, best practices and scale to gain efficiencies throughout the organization. We advanced our technology platform anchored in customer centricity, resiliency, security and growth. And as a result of our expense discipline and efficiency gains, we delivered on our positive operating leverage goal, with lower expenses than our original 2024 full year guidance. We achieved all of our 2024 full year targets in spite of a more challenging than anticipated macroeconomic environment. Looking ahead, we expect to deliver solid financial results in 2025, fueled by our resilient business model, prudent capital allocation and operational excellence initiatives. This will move us closer to achieving the medium-term financial targets we provided during our investor event. Moving to key highlights from the fourth quarter on Slide 3. We opportunistically repurchased an additional $44 million in principal amount of our convertible notes, leaving only $10 million of the original $360 million balance remaining. We also purchased $44 million of common shares in December, completing our Board-authorized share repurchase plan. Additionally, our overall funding mix continued to improve, with strong growth in our direct-to-consumer deposits, which reached $7.7 billion at quarter end. We generated adjusted income from continuing operations of $21 million and adjusted diluted EPS from continuing operations of $0.41. Both exclude the $13 million post-tax impact from the premium paid on our repurchased convertible notes. Tangible book value per share of $46.97 increased 7% year-over-year while our common equity Tier 1 capital ratio increased 20 basis points year-over-year to 12.4%. Further, we are pleased with our year-over-year positive fourth quarter credit sales growth as beauty, sporting goods and retail apparel as well as millennial and Gen Z sales showed signs of improvement. Spending continues to be more heavily weighted toward nondiscretionary purchases, leading to strong loan growth in our co-brand and proprietary products during the holidays. While we continue to closely monitor ongoing economic and political uncertainties, including impacts from key legislative and monetary policies, we are cautiously optimistic that credit sales improvement will continue in 2025 driven by new and existing partner growth. Slide 4 depicts the results of our disciplined capital allocation strategy. While I have mentioned several of our accomplishments for the quarter and full year, it is worth looking at our improvements over a longer period of time to see the significant progress we have made. Our CET1 ratio has increased 210 basis points over the last 3 years to 12.4%. Since the fourth quarter of 2021, we have reduced our parent debt levels by 50%, paying down more than $1 billion and decreasing our double leverage ratio to 105%, achieving our targeted level. We have successfully increased our tangible book value over the past 3 years with an annual growth rate of 19%, resulting in a fourth quarter 2024 tangible book value of nearly $47. I will wrap up my initial remarks by sharing my sincere appreciation for the focus of the leadership team and the dedication of our thousands of talented associates throughout the year, without whom our position of strength heading into 2025 would not be possible. Bread Financial is a stronger, more resilient organization, and I am excited to continue our momentum, delivering on our commitments to key stakeholders. I will now turn it over to Perry to discuss the financials.
Perry Beberman: Thanks, Ralph. I will touch on our full year 2024 financial highlights on Slide 5 before moving on to our fourth quarter 2024 results. For the year, credit sales of $27 billion decreased 7%, and average loans of $18.1 billion decreased 1%, reflecting moderated consumer spending, our proactive credit tightening actions and elevated gross losses, partially offset by new partner growth. Revenue of $3.8 billion decreased $451 million or 11% due to a $230 million gain on sale on the comparative 2023 period. While in 2024, we had lower finance charges and late fees, resulting from a gradual shift in risk and product mix, leading to a lower proportion of private-label accounts. Our loan yield was impacted by lower average prime rate driven by the 100 basis points of Fed rate cuts that started in September and, lastly, reduced merchant discount fees resulting from lower big ticket sales. Total noninterest expense, net income, income from continuing operations and diluted EPS have all been adjusted for the impact from our repurchased convertible notes, which was primarily the premium paid for those repurchases. All adjusted figures are non-GAAP financial measures, and a reconciliation table can be found at the bottom of the slide as well as in the appendix along with our non-GAAP financial measures. Adjusted total noninterest expenses decreased 7%, excluding the $107 million pretax impact from our repurchased convertible notes. The decline was primarily driven by lower card and processing expenses, which includes lower fraud expense. Adjusted diluted EPS for the year was $7.60. Slide 6 provides our fourth quarter financial highlights. During the fourth quarter, credit sales of $7.9 billion increased 1% year-over-year, reflecting new partner growth and stronger holiday sales, while average loans of $18.2 billion decreased 1%, reflecting lower full year credit sales and elevated gross credit losses in the year. Revenue was $0.9 billion for the quarter, down 9% year-over-year, and total noninterest expenses increased $20 million or 4%. Income from continuing operations decreased $37 million, primarily due to the lower net interest income and a $13 million post-tax impact from our repurchased convertible notes, partially offset by a lower provision for credit losses. Adjusted income from continuing operations and adjusted diluted EPS, both of which exclude the impact from our repurchased notes, were $21 million and $0.41, respectively. Looking at the quarterly financials in more detail on Slide 7. Total net interest income for the quarter decreased 8% year-over-year, primarily due to a lower loan yield, which I will discuss further on the next slide. Noninterest income was down $4 million, which was primarily the result of reduced merchant discount fees due to lower big-ticket credit sales. Total noninterest expenses increased $20 million or 4%, including a $22 million increase in employee compensation and benefits costs and technology-related transformation costs and an $11 million pretax impact from our repurchased convertible notes. Excluding the $11 million related to the convertible repurchases, expenses increased 1%. Additional details on expense drivers can be found in the appendix of the slide deck posted on our website. Pretax pre-provision earnings, or PPNR, decreased $111 million or 22% primarily due to lower net interest income and higher employee compensation and benefits costs. Finally, note that the tax rate in the fourth quarter of 2024 benefited from favorable discrete items. Turning to Slide 8. Both loan yield of 25.7% and net interest margin of 17.8% were lower sequentially following seasonal trends. Loan yield decreased 200 basis points year-over-year primarily due to lower finance charges and late fees, resulting from a gradual shift in product and risk mix, leading to a lower proportion of private-label accounts, lower average prime rate, and higher seasonal transactor balances related to strong holiday spend. On the funding side, we are seeing the rate on our funding costs decrease as savings accounts and new term CD rates decline with lower Fed and U.S. treasuries. Note that repricing of our retail CD portfolio, which comprises over half of our direct-to-consumer deposits, will lag the rate changes in both our savings portfolio and the overall loan portfolio. Looking at the bottom right chart, you can see that our funding mix continues to improve, fueled by growth in direct-to-consumer deposits, which increased to $7.7 billion at quarter end. Direct-to-consumer deposits accounted for 43% of our average total funding, up from 35% a year ago. Concurrently, wholesale deposits decreased from 39% to 30%. Moving to credit on Slide 9. Our delinquency rate for the fourth quarter was 5.9%, down 60 basis points from last year and down 50 basis points sequentially, following seasonal trends. This gradual improvement provides an early sign of potential optimism for improved credit performance in the second half of 2025, subject to macroeconomic conditions continuing to improve. The fourth quarter net loss rate was 8.0%, flat to last year and slightly higher than the third quarter 2024 rate of 7.8%. As previously mentioned, we estimate the net loss rate benefited by more than 20 basis points or approximately $10 million from the hurricane-related, customer-friendly actions we took in October and November, which consequently will have a negative impact on the May and June 2025 net loss rates. Our reserve rate of 11.9% improved slightly year-over-year as expected, which is further evidence of stabilization in our credit portfolio. We continue to maintain appropriately conservative weighting on the economic scenarios in our credit reserve modeling given the wide range of potential 2025 macroeconomic outcomes. Further, our total loss absorption capacity, comprised of total company tangible common equity plus credit reserve, ended the quarter at 24% of total loans, an increase of 90 basis points from a year ago, demonstrating a strong margin of protection should more adverse economic conditions arise. Looking at our credit risk distribution, the percentage of cardholders with a 660-plus credit score improved slightly during the quarter to 58%, up from 57% sequentially and above pre-pandemic levels despite continued inflationary pressures. This is primarily a result of our ongoing prudent credit tightening actions as well as our more diversified product mix. We continue to proactively manage our credit risk to protect our balance sheet and ensure we are appropriately compensated for the risk we take. Moving to Slide 10. Our 2025 outlook acknowledges the economic progress in 2024 in terms of stabilizing inflation and improvements in real wages in a stable, albeit cooling labor market. We anticipate our consumers will continue to responsibly moderate their spending due to ongoing elevated prices. We also recognize that consumer impacts related to the new administration's legislative and monetary policies are unknown at this time. Our outlook assumes no late fee reduction related to the CFPB late fee rule, given uncertainty surrounding the timing and outcome of the ongoing litigation. It also assumes further interest rate reductions by the Federal Reserve, which will pressure total net interest income. Note that as we remain slightly asset sensitive, lower recent and future Fed and prime rates will pressure net interest margin as our variable rate assets reprice faster than our liabilities. We expect 2025 average credit card and other loans to be relatively flat compared to 2024 based on our current economic outlook, strategic tightening actions, anticipated elevated gross credit losses, and visibility into our pipeline and existing partner relationships. As a result of new business growth and higher credit sales in the year, we anticipate year-end 2025 loans will be slightly higher than year-end 2024. Total revenue growth, excluding portfolio sale gains, is anticipated to be up low single digits, with the full year net interest margin modestly higher than full year 2024 rate. This is a result of the mitigation actions taken in response to the CFPB late fee rule, partially offset by an expected continued shift in product mix to co-brand, proprietary and installment lending products, which would lead to lower finance charges and late fees as well as a lower average year-over-year prime rate. To expand a bit on a few of the key variables that are expected to drive NIM into 2025, first, I would note the negative impact on loan yields from the 100-basis-point reduction in prime rate in late 2024 and that impact rolling through on a quarter and full year basis, then factoring in the potential timing of potential additional Fed interest rate cuts in 2025. Next, I would highlight the expectation for lower billed late fees given better early-stage delinquency trends as a result of our improving risk mix and more diversified product mix, as I mentioned previously. Third, on a quarterly basis, you have seasonality from the buildup in transactor balances, timing around tax refunds, and the level of gross losses in each quarter. For example, sequentially, the first quarter will see pressure from expected higher gross losses and expected lower early-stage delinquencies resulting in lower billed late fees but will benefit slightly from normal seasonality as holiday transactor balances pay down. Additionally, as we have said, the result of the mitigation actions we have taken in response to the CFPB late fee rule should gradually build into our portfolio over the coming quarters in the form of higher APRs. We recognize there are many moving pieces, so we will continue to provide additional insights regarding the loan yields throughout the year. From the interest expense side, we are pleased with our continued progress in growing our direct-to-consumer deposits and lowering our rates while remaining very competitive. As I mentioned, the impact from our CD rate reductions will lag relative to the changes in the yield curve, which leads to additional shorter-term pressure on net interest margin. As a result of efficiencies gained from ongoing operational excellence initiatives, along with disciplined investment and expense management, we expect to generate nominal full year positive operating leverage in 2025, excluding portfolio sales and the 2024 $107 million pretax impact from our repurchased convertible notes. The degree of positive operating leverage will be macro dependent related to credit improvement, loan growth, and pace and timing of further Fed interest cuts. We anticipate a year-over-year net loss rate in the 8.0% to 8.2% range for 2025. As I mentioned earlier, the customer-friendly hurricane actions we took in October and November in 2024 will result in a modest shift of losses from the fourth quarter of 2024 to the second quarter of 2025, negatively impacting the second quarter loss rate. We expect the net loss rate in the first half of the year to remain elevated. Given positive early indications, we project that the first quarter net loss rate will be at slightly or better than the first quarter 2024 rate of 8.5%, with a peak rate in the upper 8% range in February as a result of the day weighting calculation methodology that we implemented last year. Delinquency performance over the next 90 days will help to shape our expectations for the second half of the year as there is still potential volatility in credit performance driven by the changing administration, tax season and broader macroeconomic conditions. Overall, our baseline loss outlook assumes a slow gradual improvement in the macroeconomic environment as it will take time for the effects of a prolonged period of elevated inflation to be fully absorbed by consumers. Finally, our full year normalized effective tax rate is expected to be in the range of 25% to 26%, with quarter-over-quarter variability to the timing of certain discrete items. Now I will turn it back to Ralph to review our 2025 focus areas.
Ralph Andretta: Thanks, Perry. Before we open it up for questions, I wanted to provide a refreshed view of our focus areas for 2025 as seen on Slide 11. While our focus areas have remained fairly consistent over the last few years, they continue to evolve with our transformation and the ever-changing business environment. First, our commitment to responsible growth will not change. We have made significant progress diversifying our product suite over the last few years. This enables us to appropriately scale, improve our risk mix and grow our partnerships, expanding revenue-generation opportunities. Second, we will leverage our sophisticated end-to-end credit management process to continue balancing risk and reward and effectively manage changes in the macroeconomic environment. We will continue to adapt to regulatory uncertainty and closely monitor the potential impacts from legislative and monetary changes. Third, due to the successful execution of our long-term debt plan, including the pay-down of more than $1 billion of debt over the last 3 years and our disciplined approach to allocating capital, our balance sheet is stronger than ever. This provides a necessary foundation and flexibility for continued business growth and resiliency. We look for opportunities to optimize our capital and debt stack. And as we continue to generate capital, we will ensure appropriate returns on our investments and maintain the balance sheet strength we have worked so hard to build. Then over time, we will look to return excess capital to our shareholders. In the last 5 years, we have made substantial progress enhancing our enterprise risk management practices, including capital planning as well as interest rate risk management. We will continue to strengthen and advance all aspects of risk management to ensure we are a prudent and well-run financial services company. Finally, the successful integration and execution of our operational excellence efforts continue. We will look to accelerate continuous improvement and transform initiatives to deliver technology advancements, improved customer satisfaction, enterprise-wide efficiency and value creation. In summary, our experienced leadership team remains focused on generating strong returns through prudent capital and risk management. This reflects our unwavering commitment to drive sustainable, profitable growth and build long-term value for our shareholders and other stakeholders throughout dynamic economic and regulatory environments. We are proud of what we accomplished in 2024 and look forward to building on our momentum in 2025. Operator, we are now ready to open up the lines for questions.
Operator: Our first question comes from the line of Sanjay Sakhrani from KBW.
Sanjay Sakhrani: Perry, I just wanted to talk about the path to your medium-term targets. I guess as we think about mitigation and the no late fee regulation, I would think that, that accelerates the path to this potential. Maybe just talk about how you're thinking about that and give us a sense of some of the points that you made on NIM and how much mitigation is coming through over the next couple of years.
Perry Beberman: Sure. Yes, I'd say -- and thanks, Sanjay, for the question. I'd say we're well on the path to achieving those medium-term targets. I think some of the key things to look at is when you start to look at what happened in the fourth quarter and how we expect that to pull through in the first half of the year, we're still operating in a period of elevated losses, right? And so gross losses, you have that higher period of reversal of interest and fees from prior periods. So that was occurring and will continue to occur into the first part of the year when we're still north of 8% on gross losses. So that needs to come back down to that 6% level to really achieve those targets. And then you take into consideration that we did see marked improvement in delinquency. So the 50-basis-point improvement linked quarter or 56 basis points year-over-year is starting to bend the curve. And so in that period, you're starting to have lower billed late fees, so you're kind of getting that double whammy in that transition period. As credit quality is improving, you're getting billed late fees that is pulling back on to your net interest margin a little bit. But at the same time, you still have elevated reversal of interest in fees from prior periods when you had more of those billed fees. So that's going to play through in that transitional period as you start to work towards that, I'll call it, more normalized credit as that starts marching downward. At the same time, we did have the 100 basis points of Fed cuts and that translating to prime cuts that happened pretty rapidly in the fourth quarter. Us being asset-sensitive, that's pulling through and impacted yield as the liabilities catch up in terms of repricing. You'll start to see NIM normalize as well. And then to your point, the CFPB late fee mitigation actions that are in flight, when we put this out, it was years of building to get all those APRs -- higher APRs translating into the interest income on those revolving balances. So we're moving closer to those medium-term targets. But really, it's going to be largely credit dependent. I feel very confident with the way we're managing expenses to deliver positive operating leverage. And a lot of that will be macro dependent to the degree of which we deliver positive operating leverage as we talk about. And we'll talk more about what those impacts of the possible economy are. But that's kind of the way I think about the glide path as we march through the back half of this year. We're going to really be set up nicely to start to hit those medium-term targets.
Sanjay Sakhrani: Got it. And then just a follow-up maybe, Ralph. I'm just trying to think about how we see a re-acceleration in NIM-accretive loan growth. I know there's been some mix impacts. You guys are growing in co-brand, which is definitely helping credit. But as I look ahead, how do we get loan growth to accelerate? Is it a function of credit? Like are you guys tightening so that's having an impact as well? Or can we see some loosening that can drive that? I mean you talked a little bit about the spending trends specifically. And then are there any portfolio acquisition opportunities?
Ralph Andretta: Yes. If you think about -- let me answer that with the fourth quarter shows a lot of green shoots, right? We saw some pickup in specialty apparel, T&E, millennial spend and Gen Z. We were really comfortable with that. And if you think about what we executed in 2024, those portfolios are going to mature as we move through 2025, and we do have a robust pipeline. So if I look at year-end, our loans -- our end-of-period loans were up, end-of-period sales were up. I was pretty encouraged by that. I'm cautiously optimistic as we move forward through 2025 that sales will increase. And then consequently, loan growth will increase.
Operator: And our next question comes from the line of Vincent Caintic from BTIG.
Vincent Caintic: First one is actually just a follow-up on the NIM and on the mitigants rollout. If you could maybe update us on the progress there. And with the new administration coming in and I think expectations now with the CFPB going away, I'm just wondering how your conversations are going with maybe some of the merchants who have not yet signed up, just how that progress is and how much more could we see in mitigants.
Perry Beberman: Yes. So as it relates to the mitigation, we have taken a thoughtful approach with our brand partners in terms of how we phase these in. We said previously, this was a phased-in approach. It wasn't going to be a big bang where it all happened at some point last year. So there's still, I'll say, like APR increases rolling out this year. But we have 95% of the brand partners understand the contractual commitments of what's going to happen, should the late fee rule go into effect. And Vincent, to your point, there's, I think, optimism just from the litigation that was in flight in terms of hoping for a positive outcome. But we got to keep marching forward because the timing and the outcome of what's going to play forward in the courts is still uncertain. But Judge Pittman's early indication that late fees should be a deterrent gives us some encouragement that, that would be where it goes. So more broadly, obviously, I think, industry-wide, it's feeling more optimistic with the change in administration on the regulatory side. But there's other consequences that could be out there with policy changes and things that we just don't know. But as it rolls, we do think there's going to be some -- a positivity in terms of what that means to net interest margin over time and how that plays forward into 2026 as well. But there's still some pressures on this year with rate cuts, the compression that we'll see from that. Improved delinquency lowers late fees. So you've got all these moving parts within that, which is why we're guiding where we are. But we do expect NIM to be slightly higher this year than last year, largely because of the mitigation playing through.
Vincent Caintic: Okay. Great. And then maybe asking just on the medium-term guidance again. I think sitting back at the Investor Day and all the great detail you gave there, I think we were looking at kind of getting to a run rate 20%, 25% ROE by the fourth quarter of 2025. And so I'm just wondering with NIM is coming up a bit and then you have the losses improving as well as credit reserves coming down, so it's nice to see the 30 basis points benefit. Just wondering if we're on track of that and what other pieces maybe we need to get to that medium term.
Perry Beberman: Yes. I think it's what you said there, right? How does the fourth quarter credit performance come in? Where does reserve rate come down? I would expect if things play out positively and credit really continues to hold and even slightly improve as you march through the next 90 days, that's going to be a good indication that we'll finish the year with a lower reserve rate than where we finished this year. And if losses come in better, obviously, then you're starting to drive those returns. And that should set us up for 2026.
Operator: And our next question comes from the line of Jeff Adelson from Morgan Stanley.
Jeffrey Adelson: Perry, thanks for all the color into the moving pieces on the NIM. I just wanted to make sure we understood. So for the first quarter, should we be expecting more of a -- more pressure on the NIM? Or should that be more flat? I mean you talked about the seasonality of transactors, which tends to benefit in the first quarter. I just want to make sure we put a finer point on that.
Perry Beberman: Yes. Thanks for your question. So again, the moving parts, transactor balances coming off, that helps to increase NIM. We've got the prime rate pull-through for the full quarter. That puts pressure on NIM. You've got some CFPB mitigation, so that's going to help. So you've got a couple of positives offset with one negative. So I'd say we should be seasonally slightly up in -- from the fourth quarter going into first quarter.
Jeffrey Adelson: Okay. And then just around the green shoots of spending there, how do we balance that against your expectation for consumers to kind of be cautiously moderating their spend here? I get you highlighted some of the key areas of growth you're seeing. Is any of that coming from any account growth that you're maybe leaning into at this point? Or can you just help us understand what that looks like? And then related to that, like are there any sort of trends that you're noticing under the hood? Just an update on the state of the consumer, whether it be by high versus low income or FICO.
Perry Beberman: Yes. So when I think about spend, I think more broadly about the economy, right? And if you think about the economy, there's clearly been signs of strength and stabilization, where unemployment has remained around 4.1%. That outlook is to be consistent through next year based on what everybody is saying. We're seeing encouraging signs with CPI dropping to 3.2%, which is positive. So our consumers, I think you're probably seeing the same thing. The low-end consumer is actually seeing some slight improvement. Maybe you start creeping up the ladder to the prime plus, who are starting to feel the pressure. We're watching things carefully with like min pay. We're starting to see stabilization, maybe some slight improvement on the lower end of who we underwrite. But you're starting to see a little bit of an increase as you start to go up the ladder. So it's interesting to watch the 2 tails of the economy, right? The lower end of the tail, we talked about the K economy in the past. We've actually seen stabilization to improvement, and that's a lot of where we live, and we serve those customers. And so we're almost breaking trend a little bit with the more broad industry on that because of the actions that we've taken in the past couple of years around underwriting. So if you think about -- I almost call it bottoming out in terms of our credit strategy and where we are at the vintages, from here, we should start to see that continued improvement, and the actions we've taken has set us up for that. Again, we're just remaining, I'd say, cautious as it relates to 2025 because of the unknowns, right? And one of the unknowns, as an example, is what are customers going to do with their tax refunds? Are they going to spend more? Or are they going to pay down debt? Are they going to put it to savings? And just giving you a little factoid on this from some past actions. In 2023, 28% of the people used their tax refunds to pay down debt. In 2024, 19%, so a significant drop. That was one of the lowest that we've seen in over a decade. This year, just this morning, something came out that said of a survey, 37% plan to use it to pay down debt. So that would bode well for delinquency and creating more capacity. So there's a lot of moving parts here. And then similarly, what's going to happen with policies is could it put upward pressure on inflation. That would change how we think about things. We've remained, in our outlook, very cautious on inflation, not assuming things are going to continue to improve materially. But if things remain on track as they have, I think you could see some upside there.
Operator: And our next question comes from the line of John Pancari from Evercore ISI.
John Pancari: On the linked quarter loan yield change, I know the yield was down about 170 basis points linked quarter. Just to get a little bit more detail there, how much of that was the impact -- the lagged impact of the Fed cuts versus how much of that was the impact from the lower big-ticket sales that you cited and then a potential impact from the shift away from private label? Is there a way to help us kind of size that up to assess the magnitude of each?
Perry Beberman: There's a lot of moving parts in there. I don't want to say it's 1/3, 1/3, 1/3. But the -- a large part of our portfolio, the vast majority is variable priced. So that quick movement in prime means that the loan yields drop almost instantaneously. Within 45 days of those prime rate reductions, that pulls through. And as we've talked about, the liabilities catch up over time. So that will happen over the coming quarters because of the CDs and other things. Then as we mentioned, with the improvement in delinquency, we saw lower billed late fees. So you take that as the other piece that dragged down the loan yield but while not seeing material improvement in gross losses, which has that reversal of interest and fees, so it was that double whammy effect. You're kind of catching that faster reduction in loan yield and liabilities, so that will smooth out as we march through 2025. And then as the reversal of interest and fees improve as gross losses improve throughout the year, then you're going to start to get that NIM expansion again, following normal seasonality.
John Pancari: Okay. All right. And then just one more. My second -- my follow-up is kind of a 2-parter. On the private-label shift away towards co-brand, is that happening at about the pace you had expected or maybe at a faster clip than anticipated? And then when you look at your expectation for flat average loans, but end of period slightly higher, I was wondering if you could -- it seems a bit modest, just given the backdrop that should be strengthening here. So is there anything impacting your expectation on balances here as you look at the year that you might be approaching it conservatively?
Perry Beberman: Yes. I think what you just said there, that last point, it is conservative, right, because we just don't know what the economy and policies are going to hold and what that means to consumer growth. But as we've talked about, and we've been talking about the diversification of our portfolio and the continued move to more co-brand, within co-brand, and I've got to give a lot of credit to our business development team and working with existing brand partners, many used to have only a private-label account or card, which can only be used in the store. So a lot of the brand partners now have some co-brand as well as private label. So if you think about taking the top tiers of private label and now they're getting the co-brand card and they get to now use that card for more general-purpose spend outside of the store, so that's given us a nice diversification of spend, and that's helping create the shift. Then on top of that, we're signing some new partners who have just co-brand. So that is just pure, so it is a slow migration. I wouldn't say it's moving faster or slower. And then you would imagine as you are having this period of elevated losses, your highest-risk customers are the one charging off and you're not filling them back in with the same type of product because we're still in a tighter credit environment. So you're not even underwriting as deep into the private label base. So you're charging more of those off, replacing them with a better credit quality, and that's part of what's happened with this natural migration right now. I hope that answers your question.
Operator: And our next question comes from the line of Bill Carcache from Wolfe Research.
Bill Carcache: Following up on the comments you just made, Perry, around the increase in co-brand versus private label and remixing towards higher-credit quality customers that we're seeing, is the return profile of the business and the risk-adjusted yields you generate changing with a less volatile but potentially a bit lower-yielding revenue stream? Any color that you can give on sort of how to think about the persistence of those trends? And if this is something we should think about as structural? And does that align with the expectations with the guidance that you gave at Investor Day?
Perry Beberman: Yes. What I'd say is it 100% aligns to the guidance we gave at Investor Day. That was all contemplated in our long-term targets. Now I would say -- I'm making this up completely. But if there was something where we bought a $10 billion portfolio, which we're not, but if we were and it had a very different profile, we'd have to come back and revisit that. But no, with what we put out there for our growth targets and the business that we're in, we -- again, we underwrite for profit. We're making sure we get paid for the capital. We are committed to those returns and that something would have to move, very large and chunky, to really move us off those targets. We expect to deliver the returns. We're focused on operational excellence, continue to manage our expense base and to deliver positive operating leverage as well as making sure that we get the right return for the risk we take.
Bill Carcache: That's great. As a follow-up, if the loan growth outlook remains flat as you expect, how should we think about your buyback capacity over the course of the year, Perry? And then Ralph, could you give some color around the renewal process and how you -- do you think that potentially could change as a result of some of the mitigating actions that have been taken?
Perry Beberman: Yes. So when you think about loan growth, again, really an excellent question, right? You have to take care of anticipated loan growth throughout the year and into 2026. First, we have to hit our capital ratios, right? So let's start with that. We're not quite there yet. We need to get there. And then we'll have a better line of sight into pipeline, consumer behavior. And that will really, I'll say, dictate what type of capacity there would be. And if credit quality continues to improve or does it weaken, all those things factor into our discussions around capital planning, and we'll give more insight on that as we march through the year.
Ralph Andretta: Yes. So good to talk to you. I'm really pleased with our renewal process and the results that we have. If you think about where we are, I think we talked about it earlier, we got 85% of our portfolios renewed for 2026. 9 out of our 10 biggest programs, let's call it, almost to the end of the decade, really, really well. We're proactive on renewals, starting them well before they're due and kind of sidestepping RFPs, which gets a little crazy out there. There's a little bit of compression, but nothing that we -- is unexpected, nothing that we haven't kind of incorporated in our outlook. And the team does a terrific job. And unlike years in the past, we don't give away our piece of the pie. We grow the pie, and we both benefit from a positive renewal with new data, new information, new products. So I feel very, very positive about what we do on renewals.
Operator: And our next question comes from the line of Moshe Orenbuch from TD Cowen.
Moshe Orenbuch: Great. Ralph, in your -- in the guide, you talked about positive operating leverage in an environment of kind of low single-digit revenue growth. And you made some comments in your closing remarks about operating efficiency. I was wondering if you can expand on that because I think it's going to take on some increased importance.
Ralph Andretta: Yes. Moshe, last year, we put -- we focused on operational excellence. And for us, that means looking at everything we do and doing it more effectively and more efficiently. And we've had some really good success in 2024. That success rolls into 2025. We continue to look at everything we do from a process perspective, from an automation perspective, using artificial intelligence to do things better, faster and quicker. And all that results in reducing our cost to serve, reducing our cost to acquire, all results in our positive operating leverage. We'll continue to invest in our tech modernization, which drives down our operating expenses. We'll look at expanding mobile and web-based account generation, drive down our expenses, and we'll continue to deploy the right efficiencies across the organization. And I think operating leverage will be something that we're focused on every day. So I'm confident that we'll have, as we said, positive operating leverage in 2025. The level of positive operating leverage will depend on the macroeconomic environment.
Moshe Orenbuch: Okay. Maybe as a follow-up and to an earlier question, could you just talk a little bit specifically about the pricing impacts on your expected margin for 2025? And perhaps, how much by the end of '25, you would have expected of the impact of late fees to have been in your pricing and yield?
Perry Beberman: Yes. So Moshe, what we try to articulate is all the moving parts that we're going to see throughout the year. The headwinds, as we said, was going to be NIM compression from the current Fed rate cuts as well as what may be a couple more throughout the year. We expect delinquency to hopefully continue to improve. That would have lower billed fees, which means you'll have less loan yield from that. And then as you go through the year and start to hopefully have better credit losses, you'll get some offset with the lower reversal of interest in fees. And then to your point, it's the -- I will then ask you that you still have a product and risk mix shift going on, which will also -- the higher-quality customer has a lower contractual APR. So those things combined would put pressure on NIM. Then you have the offset being the mitigation on APRs. And as we put out on a slide a while ago, it just takes years for the burn-in of all the APR increases to come through. I mean if you were dealing with a like-for-like population from, say, 2 years ago, we had more private label, who had the highest APRs. Yes, you maybe see a bit more of an impact. But when you're doing a little bit of a tighter -- you're operating in a tighter credit environment with, say, fewer new accounts with a higher credit quality, the burn-in of the new vintage at the higher APRs is less impactful than what it would have been had we been mixed a lot more to private label, as an example. So there's a lot of moving parts, and we will continue to provide more refinements on guidance as we march through the year.
Operator: And our next question comes from the line of Mihir Bhatia from Bank of America.
Mihir Bhatia: Wanted to start by asking about capital returns. You've improved your CET1 ratio. You've been cleaning up your balance sheet. You've talked about lowering the double leverage. So where are we in that process? What are your thoughts on capital returns here heading into 2025? What should we expect?
Perry Beberman: Yes. Look, we've remained very consistent for the past, I'll say, 3 years around our capital deployment. First and foremost, we're going to fund responsible, profitable growth. And we've done that. It may not always feel like it because we're operating in an environment where you've had elevated losses. We've had tighter underwriting and the like. But that remains our first commitment, and that is what we are doing and will continue to do throughout this year. We continue to invest in technology and digital capabilities, as Ralph said. Now a lot of that now is getting funded through that operational excellence program we have instituted. We still are not all the way home yet on our capital ratios, so we still need to hit those numbers. We have a goal to build our total risk-based capital to around 16%, with CET1 around 14%. Obviously, as we march through the year into next year, we hopefully can optimize our balance sheet a little bit by introducing some Tier 1 and Tier 2. And then when we look at what we've achieved -- if we've achieved all that, that frees us up then for how do we use capital to deploy it back to shareholders in the form of buybacks or whatever.
Mihir Bhatia: Got it. And then I wanted to talk about credit a little bit more. And so like your 2025 guidance, right, it's still about 200 bps above -- a little bit more than 200 bps above your long-term target. So I'm just wondering, this is a 2-part question. But, A, do you need to tighten underwriting further to get to your long-term target? Or is your current underwriting posture sufficient to get there just from mix shift and, I guess, a little bit more time passing and easing of the inflation and macro pressures? And then part B is, do you have a time line you can share on when you can get to your target range, just assuming a stable macro?
Perry Beberman: Yes. So this -- it is an excellent question, one that I really wish I had that crystal ball because this one, this macro environment is very different than what most of us have experienced during our decades of being in the credit card industry. This period of high inflation, higher interest rates and the pace at which this has moved in this, I'll say, this slow steady improvement of inflation, it just takes time. I feel very comfortable with the credit posture we're in. Certainly not a time to loosen because like you mentioned, we're a couple hundred basis points above where we are. I would tell you, the recent vintages are performing really well and back in line with what we want to see out of vintage performance. So that means as those come in and as the existing portfolio, I'll say, cleanses a little bit as the riskiest customers kind of charge off, with the new vintages coming on, we're bending that curve back down. It's just the first part of the year, the first quarter, we're going to have a loss rate that approaches the peak we saw in the first quarter of last year of 8.5%. Hopefully then, we can continue to improve from there. But it goes back to this being macro dependent on the pace at which this can improve. Structurally, I feel very comfortable with the actions that our credit team has taken. The new partners we're putting on, the new business we're putting on is just now working its way through. It's just not going to happen fast because this is not an unemployment-driven environment that's causing the pressure in loss rates, where usually, that cleanses out much faster. This is because of the macro environment. It's just a slow, steady improving. So again, with our delinquencies trends improving, we think that if that consistently holds, that's a sign that losses are going to come down. And the pace of that improvement is what will drive how quickly we get back down to the 6%. But structurally, around credit underwriting, the new business we're putting on, it's setting us up to definitely get there. I'm not going to say at the end of the year. That's not likely. But certainly, as we march through next -- the end of next year and beyond.
Operator: And our next question comes from the line of Terry Ma from Barclays.
Terry Ma: I appreciate all the color on NIM. But maybe just on revenue growth for the year and the guide of low single digits. Any color you can provide on kind of the cadence as we kind of step through the year? Since you have the mitigants rolling in, should we expect accelerating revenue growth and then maybe you exit the fourth quarter higher than the full year guide?
Perry Beberman: Yes, I think what you're going to see is net interest margin is -- I've kind of walked through the pieces in the first quarter. You're going to have some seasonality in there. Some of this is going to be dependent on the timing of rate cuts throughout the year. Do they happen in the early part of the year or the late part? If it's later, obviously then, we won't see as much impact from that in terms of compression. If delinquency continues to improve faster, okay, that means we're going to be collecting less late fees. But that should set us up very nicely for the back part of the year with lower losses. So there's just a lot of moving parts on this. And again, we do have the mitigation actions that we've got in flight from the potential CFPB late fee rule to help set us up. And that's where we've guided to the full year net interest margin being a little bit higher than what it was last year.
Terry Ma: Got it. Okay. Then maybe as a follow-up to credit, should we expect the historical relationship between delinquencies and charge-offs to kind of hold? Or is there something else there? I seem to recall in prior quarters, you guys may have called out elevated roll rates.
Perry Beberman: Yes. Excellent question. So that is one of the key factors in terms of how delinquency will translate into losses. And to that exact point, what we've been experiencing is some of the highest roll rates in history. So that's what we've been commenting that we need to see some of that improve, and we are starting to see some slight improvement in all of the different buckets in terms of that roll rate improvement. And if that actually starts to reverse back to, I'll say, historical norms, that would -- there should be an acceleration of losses. Now that trend is very recent that we've seen a slight improvement. But really, for the -- to get back to that historical correlation between delinquency and losses, there needs to be more material improvement in the roll rates, and that just hasn't manifested yet.
Operator: And our next question comes from the line of Dominick Gabriele from Compass Point.
Dominick Gabriele: You guys have talked about a mix shift to higher FICO scores. Maybe just asking Bill's question earlier from a different way. Could there -- how does this pressure your yields on a like-for-like basis? Because you're talking about trimming but the portfolio. I was just curious if this trimming is really around the edges. Or as things normalize, will the portfolio mix on average higher like 10% in VantageScores? Like what kind of mix shift towards higher FICO scores are you -- are we really thinking about? And how does this affect the seasonality of the yields in the business? And I just have a follow-up.
Perry Beberman: Yes. I would tell you, it's going to be very gradual mix shifts. We've got a lot of great new partners, de novo programs. It's going to blend in. As credit improves, you can underwrite, I'll say, a little deeper. But basically, I think that as credit scores coming in and will be improved, it's just a gradual improvement. I don't think you're going to see a, to use your example, a 10% jump in VantageScore improvement in terms of mix happen quickly. It could happen over time. We expect to continue to diversify our product set and continue to drive down losses. And if we did have a material mix shift, you would expect our through-the-cycle guide of 6% to go lower than that, and that would also mean we could lower our capital targets as an example. So a lot of these things will play together, but let's just go back to what we put out there in our Investor Day targets. We are committed to hitting those returns.
Dominick Gabriele: Right. Okay. Great. And then your efficiency, given the revenue growth, has actually been pretty solid. When the company thinks -- when the company moves back towards perhaps a normal revenue growth rate, can you talk about scale benefits to the efficiency ratio you have in your business model? And are you guys going to be still focused on the expense discipline? I guess I'm just kind of curious if the company -- if the management team is happy with the 50% to 51% efficiency ratio as a run rate today.
Ralph Andretta: Yes. Operational excellence is all about efficiency ratio and doing things better and taking advantage of scale and becoming expense inelastic. So there's always room for improvement, and we'll continue to focus on expense management and continue to focus on scale opportunities.
Operator: And our final question for today comes from the line of Reggie Smith from JPMorgan.
Reginald Smith: Did you guys disclose what your Fed rate assumption was? And then I was curious, I know that your merchant partners have to approve any APR increases. But have you guys talked about what proportion of your book has been repriced for late fees? Obviously, that takes a while to bleed in. And then on that note, like how -- like what could those increases look like? Maybe frame that. And then finally, when those increases are applied, are they kind of uniform by merchant? Or do you actually look at the different credit tiers? So mechanically, like how does that -- how are they pushed down to the consumer? And then I have a follow-up.
Perry Beberman: Great. Thanks for the question. So look, right now, we've disclosed that we do have some Fed cuts in there. We've got 2 cuts in there for the year. Think about that as a mid and late year cut. It's going to be fluid, obviously. I think there's still different opinions on when that will occur. As it relates to the APR increases, it's really partner dependent. It's really partner dependent in terms of how much private label do they have, where are they on the risk profile, right? A higher-credit quality portfolio requires that they're less late fee dependent, so they're less impacted, so that may look different. A big-ticket merchant looks different in terms of whether promotional fees and other things. So it really does vary partner by partner. And that's why I said 95% of those partners have contractual understanding of what would occur should the late fee change go into effect. Many of those changes are phasing in, in preparation for that. And that's really the best we can give you. But it does this -- it burns in over the course of the year and into next year and the year after because of how -- the way APR increases play through.
Reginald Smith: Got it. So if I'm hearing this right, 95% have agreed to it. Some have allowed you to go ahead and reprice even in advance of a change. Is that the right way to -- that I'm hearing that correctly?
Perry Beberman: That's exactly the right way to think about it. We're still phasing in changes.
Reginald Smith: Got it. And then at the -- it sounds like at the merchant level, you're pricing these changes based on the mix. But like do you consider individual personal credit profile and performance as well? Or is it just universal? So merchant A, like it's a 300-basis-points increase? Or is it -- do you slice and dice within each?
Perry Beberman: Yes. It varies based on the credit profile of the cohorts, again, whether they're more late fee-dependent cohorts or not. And then that determines the degree to which the APR increases need to happen in order to ensure appropriate returns for that account for that cohort of customers.
Reginald Smith: Okay. Perfect. And then last one for me. I wanted to hear like your latest thinking on the Bread BNPL product. You haven't talked about it in a while. Just curious, I know you guys have tightened credit. I'm not sure if that's what's been the issue with that business. But like how are you thinking about that? And how is the white-label BNPL resonating with merchants today, given all of the other options that are out there? I thought that, that would be something really compelling for merchants, but maybe it's not. So any color there would be great.
Ralph Andretta: Yes. I think our BNPL business will continue to grow. It's regulatory compliant. It's scalable. We're adding new partners very consistently. We're managing it in a very efficient and effective way. The rationality has come back to pricing. And as contracts expire, we are able to work with our partners and convince them that we have this bag of -- this basket of products, and BNPL is one of them. And we can give them good pricing, good optionality as we move forward. So that's been -- it's a business for us, and we'll continue to manage it as such. With that, I want to thank you all for joining the call today and for your interest in Bread Financial, and we look forward to speaking to you in the next quarter. Everybody, have a terrific day. Thank you.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.